Olivier Rigaudy: Good evening, everyone, and good morning for those who are based in U.S. Thank you for your participation to the webcast. We are together tonight to comment on the Teleperformance Group result at the end of June 2019, which are jointly released. You may have received the press release at the closing of the stock market today. As is rule, my presentation will be followed by a Q&A session, and I will present H1 result of Teleperformance in English and slides are available through the webcast and online on corporate website. A replay of the webcast will be available online tomorrow. Connection details are included in the H1 press release. Today's presentation contains forward-looking statements that address our expected future performance and that by their nature address matters that are uncertain. These expectations are subject to a number of factors and uncertainties that could cause actual results to differ materially from those described in the forward-looking statement. For a detailed description of these factors and uncertainties, please refer to the section of Risk Factors in our registration document available on the website -- corporate website. Okay. Let's start now with the key facts and the key figures for the first 6 months of the first year 2019 -- the first half year of 2019. And we'll go deeper later on activity region by region and finish with 2019 final outlook. Let us first figure -- the major figure of the first half. I do believe that the first half was very solid in all of our business in terms of revenue, profitability and cash. And that's probably the main factor -- the main point that I just want you to get in mind is that we are good in sales, margin and cash, and I'm very happy to announce that. We benefited from the dynamics of the market, and we took also advantage of the benefit of the strategies that we have implemented from the beginning of the year. Especially through the development of digital solution that we are working on for now some months. I do believe that this is a key factor for differentiation that partially explain the strong growth of our business in the first half and the acceleration of this growth between Q1 and Q2. We are also pleased with a very significant increase in the EBITDA -- EBITA, sorry, which is beyond an accounting effect of IFRS 16, on which I will come back in a minute, and show that we are progressing also in terms of profit. At the same time, and I'll come back also later on that. We continued to strengthen our financial structure with operating cash flow, which grew at the same pace as our business, illustrating the management discipline that we are demonstrating since some years. So if you look now this figure, we reported a 23.9% growth on a reported basis, which at 10.4% like-for-like growth in -- for the first half. More interestingly, this has been achieved with acceleration in Q2. The Q2 like-for-like growth was 10.9%. The increase in EBITA margin is significant from 12 -- from 11.9% last year to 12.8%. Out of this 12.8% you have to remember, you have to note, that 50 basis points are coming from the implementation of the new rules, that on which I'll come back later on, which is IFRS 16. But despite that, we have grown by 40 basis points in H1 on a pro forma basis. The diluted earnings per share grew by close to 19%, even it has been reduced, this growth has been reduced by the impact of the IFRS 16, I'll come back later on that too, but showing a significant growth anyway. And we've been able to develop a good cash flow, which is growing to €172 million at the end of the first half of this year. So we are very pleased with this result. We're showing, significant growth, significant improvement of profitability and a better cash flow. What has to be mentioned too also is, in the meantime, a lot of stuff happened during the first half. We had significant increase in number of workstation. We increased our operation footprint by close to 13,000 working station in each one, notably for new site and for expanded site. As you can see on the slide, it's also in U.S., but not only in this country, in a lot of countries; in Colombia, Portugal, Greece, Turkey, India and we developed, we expanded site also across the world. I just wanted to highlight one point, which is important. Last year, for the full year, we increased the workstation by 12,000 amount. So 12,000 workstation for the full year. Here I know it's particular, and I'm not sure we'll do that, we'll double that this year, but we increased our number of workstation by 12,000 in the first half, so significantly higher than last year. Of course, we are for the first time did consolidation of the ex Intelenet activities that we bought last year in H2 2018. We have the worldwide development of the D.I.B.S. digital solution. Remember D.I.B.S. is digital integration business solution, which now represent 20% of our revenue, which is interesting to notice. And the digitalization of the world of business of client portfolio continued to grow, which is now 20%, 22%, sorry, of our group revenue, it was just 19% at the end of last year, and 13% years ago. So developing D.I.B.S., developing new station, first consolidation of Intelenet, new development of D.I.B.S. and development of digitalization of clients. Of course, we have 2 other issues: one is the new IFRS 16, which is a norm that we are obliged to follow; the second one being the new presentation by linguistic region following the acquisition of this business. First half results. So as that says, those are the results. Just before we, I comment on the results, I just wanted to explain you what we have been obliged to do. We are following the new standard of IFRS 16, which oblige us to recognize an asset on the balance sheet linked to the rents that we are going to have all along the different years, but also different regions that we could have, and expense, and record the lease expense between interest and debt repayment. That is exactly the rule that we have to follow. Whereas the impact on the P&L, we have put that on the right side of the slide. To make it simple, you have to understand that we grew, we are obliged to have an impact, which is €10 million more EBITA minus €20 million in financial charges, which is less net of tax, it is minus 7%, minus €7 million, sorry, at the net result level. So that is a global story of the impact of the IFRS 16 on the first half figure this year. Of course, there is another stuff, which is important to mention, is the fact that our debt, net debt grew by €688 million following this new disclosure. That's somewhere, not a financial debt, if I may say, but it is a new debt that has been recorded in front of the asset that we are going to amortize or during the life of these rents. Coming back to the figures, so 23.9% like-for-like growth, reported growth, 10.4% in growth. EBITA is now 12.8%, 12.3% if you take out the 50 basis points coming from the IFRS 16. And net profit that is growing by €22 million to €145 million, less €7 million, including the deduction of €7 million from the IFRS 16. Let's move on to understand what is behind that. First of all, the growth. There is a positive currency effect, which is mainly dollar, which is above $48 million, but there are some negative figures, but we have a positive effect on the dollar and translation effect on the dollar, that is $48 million, I think which is $48 million versus last year. We have the growth of 10.4%, I just mentioned a minute ago, plus the change in scope which is consolidation for the first time of Intelenet, ex Intelenet figure. I just wanted to show that finally, if you look figure-to-figure, we are growing by a little less than €500 million in the first half this year. We had €2.070 billion last year to €2.564 billion this first half. I just wanted to remember that this figure for half year was roughly what we announced in 2013 and 2014 for the whole year. More interesting is just to have a look to the diversification of our portfolio. For the first time, the telco or so-called telco business, is below 20% of the sales, 18% of our sales, despite the fact that they are even growing, still growing in the first half, but we are growing significantly more in other sector. And we took out 2 specific, we pointed out 2 specific vertical: one is Transportation and Logistics; and the other one is Media and Entertainment, that are beyond 4% on this first half. I do believe this will continue all along the year. As far as Digital Economy, we have, as I told you just before, moved dramatically over the last 5 years from 5% of the sales to 19%. This growth is continuing in the first half and even accelerating, because we are 22% as we speak for the first half. Again, this growth will continue all over the year. Let's move to a more detailed explanation region by region. And I just wanted to stay a minute here just to tell how we are happy with the figures that are shown here. I'm sure you remember most of you that we had exceptional performance in Ibero-LATAM and CEMEA this in Q1, which is continuing. We continue to deliver very good figures, 16% or 14%, this is clearly exceptional. What was a questionable -- main question that you had was the fact that the English-speaking market and the Specialized division -- Specialized Service division were less growing. In fact they are growing back. They are back to a normative growth. The EWAP world is now growing at 6.1%, knowing that -- and all of you knew that we have a bad or difficult momentum in U.K. So that means that the growth of the North American business is higher than the one that is shown here. And you have specialized service that is back to growth again at a normative level. So that's the reason why we're now accelerating our growth despite the comps, which were difficult to beat in Q2. I just wanted to say -- to remember you this point. So not only we have the two engines that we are doing well in the first half that continued to do well, but the two other engine that could have been, I would say, could have been considered as weaker are now back on track, and that's generated this growth that we are seeing today. If we move to margin, we have the same impact. I just wanted to say that as far as the IFRS is concerned, you have an impact of 50 basis points in all the Core Service division, while it's 30 basis points only in Specialized Service division. It's because of the nature of the rents that are significantly higher for our Cost Services and D.I.B.S and for Specialized Services. But if you take that out, you see that wherever you go, you have an increase except in Ibero-LATAM. And it is not a surprise. It's not a surprise. Out of the 12,000 new workstations, half of them have been ramped in Ibero-LATAM, that being Portugal, Colombia, Brazil, Peru and Mexico. So that is the reason of this potential with a small reduction of margin, excluding IFRS 16, while being at a very high level, still being at a very high level. But you see that the English world is back on track. You see that the Continental Europe continued to grow in H1, and India & Middle East also take advantage of the consolidation, the first consolidation of the ex Intelenet business. Finally, I know there was a question about the sustainability of the march of the Specialized division especially in LLS. How this figure will show you that despite the 30 basis points coming from IFRS 16, that we are able to increase the margin, either in TLS and either in LLS. Let's go back in more detail in each division. So English world. So like-for-like growth accelerate sharply in Q2 to 6.1%. We continue to recover in North America with e-tailing, healthcare, transportation services and logistics. While we have a decline in revenue in U.K. with a global -- gloomy environment, which is difficult to predict. In Asia we have a growth mainly sustained by Malaysia with recent opening of a second multilingual hub in Penang. Consequently, their margin was increased by 100 basis points. So we are happy with that. You know that the second part of the year is key, but it shows that we are back on track in the EWAP world. If we move to Ibero-LATAM, it's little to say as I already -- that I have not said -- that I have said before. 16% in Q1, 16% on H1. Again, everything is growing significantly in Ibero-LATAM, maybe a little less Spain, but it's small business. But Colombia, Mexico, Brazil, Portugal, everywhere, we are growing significantly. And this is going to continue all over the year. I don't know at what pace exactly, but significantly again in this division. Margin remained high. As I told you, we have new major sites that are going to open, that are started to open in Q1 and Q2, and will continue to open in Q3 that has a small impact on the net margin. But we are gaining significant market share in Latin America, and again, it will continue. Back on track, Europe. Europe 14% growth, whether it's Q2 or Q1. Of course, you have the fast-growing market leader, which is Greece, Eastern Europe, Turkey that is back on track also. The French people of the French-speaking market continue to perform better, and we're going to be make money, including the offshore business in France in the French-speaking market. As a consequence also, the margin is increasing 200 basis points. If you strip out the IFRS effect, we have 150 basis points for the first half. Again, we are good on track. Middle East as far as sales are concerned, it's difficult to explain that. Because what you see here, it's only TP India, previous TP India that is growing. So the growth will probably, will reduce all over the year until we reach, we pass over the fourth quarter with Intelenet because here you have only the TP India business that opened new site last year in Q1, and developed, ramped it in Q1 and Q2 and partially in Q3. So the growth will reduce, the like-for-like growth of TP India will reduce over the year, but as the year goes by the full result are perfectly in line with what we had in time. Intelenet business, ex Intelenet business is also growing at double-digit as mentioned, as scheduled, when we made the acquisition. Specialized Service. Significant acceleration in Q2, 6.3% versus 3.7% in the first quarter. Back on track for LanguageLine Solutions. Back on track also on TLS, which is developing its sales, especially in value-added service in U.K. You remember it was an issue last year, and people were questioning about where we compute that. And so we are now benefiting from that, and we are, I do believe this will continue all over the year. The margin I mentioned it earlier on, we have very good margin. And again, we took advantage of the development of the video in LLS and added value service in TLS U.K., achieving this margin of which 30 basis points are coming from IFRS 16. So if we take out, if we look now to the other part of the P&L, little to say, you have only one thing. What I just want to mention is about the Other that is €5 million this year versus €3 million last year. It is again the cost of rebranding across the group, you know that we changed our branding last September. We did half of it, half of the group last year, and now it's over, it has been finished in end of April, sorry, and it is that the last cost that we're going to incur in this area. If we move now to the level of the other part of the P&L. Financial results, of course, you have €21 million here coming from the IFRS 16 that was not existing last year. So if you take out, if you strip out this €21 million, you have, you compare the €19 million of last year to €26 million. Out of the €26 million, you have less, in fact, you have less financial actions gained than we had last year, so that means that the financial charge and cost of interest is exactly the same than last year. It's been €20 million versus €19 million, while we have €800 million more debt. It shows that we've been able to manage the cost of the debt at a good level. However, effective tax rate there is an increase, it's mechanic. It's and I believe we will stay there around 30% by the end of the year. It's the fact that we now have Intelenet and all the Indian business that is coming in our scope. Remember that the corporate tax rate in India is 36%, but if you take out all the, if you take in account really the effective tax rate that we're avoiding taking that kind of things that are non-negligible, you are much more closer from 45%. That's the reason why we have such an increase in the effective tax rate. So net profit, €145 million, as I mentioned earlier on, 18% growth. Not only we are happy with the growth, not only we are happy with the result, but we are happy also with the cash flow. The cash flow has grown significantly to 100, free cash to €172 million coming from €156 million, while in the meantime, we have been able to limit the change in working capital to €13 million. And I just want you to have a look through the €13 million versus the increase of the sales that we had over the first half. I mentioned earlier on that we had roughly €0.5 billion of increase of sales that generates only €13 million needs in term of working capital. I think it's something that I just wanted to highlight, showing that we are having a clear end on the cash disbursement. As far as capital expenditure are concerned, we stay at the same level of 3.9% versus last year, but as I said, are growing. We are now over €100 million, €101 million to be precise. Little to say about the balance sheet. I just put it because it's interesting. You see the debt increasing because the impact of the IFRS 16, but there is little to say, and the level of the dollar is roughly comparable from the end of last year at the closing day to this year, this half-year. And I just wanted to give you the information. More interesting is to show what happened on the cash. And I strongly believe we are going to be able to deleverage quickly this business. If you look precisely, if you take out the IFRS impact, which is €688 million, you see that the debt is flat. While we have been able to pay the dividend, €111 million, to make some financial investment especially in minority interest and in shares, and to pay €101 million of CapEx. So the second part of the year, we'll be generating cash only for repaying the debt. So I do believe it's going to show a significant decrease in the second part of the year, not only we have a low average cost of debt, I hope to be below 1.7% at the end of the year. But the free cash flow generation is such that we believe that we will be around 2 times EBITA excluding IFRS impact on net debt by the end of this year. Of course, we have been able to get the confirmation of BBB minus rating and stable outlook, despite the fact that we bought Intelenet last year. As a consequence, we changed our guidance, and we say that general like-for-like for growth would be at least 8.5%, and we know an increase of at least 20 basis points in the EBITA margin before non-recurring item. I know most of you are going to tell me you are shy, you should be better, because you have done 40 basis points in the first half, you should be better in the second half. So different reason for which we believe that we are going to have a good year, but I'm not sure we will make 40 basis points in the second part of the year. First of all, the impact of the dollar will reduce in H2. Secondly, you will have less impact of Intelenet, because it will be only three months versus six months, even the fact that we consolidated Intelenet in the last quarter. And lastly, I do believe that despite improvements the rhythm of the pace for improvement of CEMEA will be probably not decreasing, but reducing so that's is the reason why we believe that we should be at least 20 at basis points and no more. And lastly, we believe that we are going to deliver a strong net free cash flow to repay the debt. So that's what I just wanted to explain you. I'm of course available for any questions that you might have
Operator: [Operator instructions] And your first question comes from the line of Bilal Aziz of UBS.
Bilal Aziz: Three quick questions from my side, please. And, firstly, can you give a bit more detail around the growth splits between LLS and TLS, please? And secondly, in TLS, you clearly flagged a small pickup due to value-add services in the U.K. contract. And can you perhaps talk a bit more about the pipeline there? We know that there are few material contracts coming up for tender and perhaps the role you're hoping to play within those. And lastly, within Intelenet, can you perhaps give us a organic number if it was consolidated, appreciate Intelenet now, but just for modeling purposes when we get towards the third quarter?
Olivier Rigaudy: About the growth between LLS and TLS. TLS is growing faster than LLS, not -- a little more. And LLS is around a little more than 6% and TLS is above that, closer to 10%. The pipeline on TLS, it's too early to tell. I know everybody is waiting for a different contract. I don't believe we will have a clear view until, I hope August, but frankly, it's not beyond the -- it's beyond my control, beyond our control. You know this government sometimes takes time to make decision. They ask you more stuff, but I hope to be able to announce something at least to start -- to announce something in Q3. Remember, especially on the U.S. contract that we have in mind there are two steps. The first step is to be able to compete, and there is a second step to compete after. So as far as pipeline in TLS is concerned, don't dream. It won't have an impact on 2019 figures. If we gain something, it will be in 2020. For Intelenet, the growth is beyond between 10% -- over 10% close to 11% growth, which is in line with what we are seeing everywhere.
Operator: Our next question comes from the line of Edward Stanley of Morgan Stanley. Please go ahead.
Edward Stanley: I've got a few. And you said that the group level that's 40 basis points increase from IFRS 16, and you also said, CEMEA would have been 150 basis points rather than 200 basis points because IFRS 16. Can you just run through each of the divisions and say what the IFRS 16 benefit was, so we can try to model more clearly?
Olivier Rigaudy: It's 50. It's 50 in each division. Sometimes it's 45, sometimes it's 50. Let's take 50. The only division that is below, it's Specialized Services, it is 30 basis points. So it's roughly exactly the same between 45 basis points and 50 basis points. I must confess it's difficult to predict, and we will give you the information for the last time at the end of this year. But after, we'll stay with the IFRS 16. It's difficult to predict because it's variable entirely. It depends a lot when you open, I would say, a center, how long is the rent, what is the actualization rate, which is different in Egypt than in U.S. But today, it's 50 basis points everywhere in all divisions, except in Specialized Service, it's 30 basis points.
Edward Stanley: Excellent. That's very clear. And on the multilingual hubs, can you break out how much of a portion of revenue it is for the entire group? And what organic growth rate those multilingual hubs are growing at?
Olivier Rigaudy: I'm not sure I'm able to answer you like that. It's clear that multilingual hubs are pushing the growth either in CEMEA, in Ibero-LATAM, and to a certain extent, also in Penang which is just starting. Clearly, these 2 countries are announcing figures that are beyond double-digit together at that point. So I have hard time to tell what is exactly linked to the multilingual hub, because in each country, in each of these 2 country, you have also a local market even if it's a smaller one, but it's growing up at this pace. So I cannot answer you like that. But keep in mind that, in both 2 countries, Portugal and Greece and Lisbon and Athens, we are growing at a higher speed than they were.
Edward Stanley: I think we got most of the way through the multilingual hubs question. And the only other question, I guess, is on the synergies from Intelenet, which you couldn't quantify when you acquired it, but I was wondering whether you have any update on that?
Olivier Rigaudy: No there is no update. I'm sure you've seen that we are in the process of developing a Digital Day. We're going to host a Digital Day mid-October in Santa Clara in California, and probably this topic will be covered at that time. Sorry, for this interruption. I'm really sorry, Edward. Other questions?
Operator: Our next question comes from the line of Patrick Jousseaume of Societe Generale.
Patrick Jousseaume: I have 2 questions. First question is on D.I.B.S. Could you, let's say, elaborate a bit on the growth of this specific segment? We see that the revenue was €272 million in Q2. It was €235 million in Q1. Does the sequential growth of something like 15% means something? And the second question is on free cash flow. There is a Bloomberg report mentioning that you said you expect at least €170 million free cash flow for the full year. Could you confirm that? And could you elaborate about this €130 million compared to €172 million of the first half please?
Olivier Rigaudy: On the cash flow, I've been questioned by Bloomberg on that point. And what I was just saying that he wanted to have a specific figure on cash flow for the full year. And I said it was difficult to predict, especially in the light of the working capital movement that could occur at the end of the year. But I believe, we are going to deliver at least this figure in 2019. For the D.I.B.S. figure, the like-for-like growth is difficult to explain because what you have in this, for in the Middle East, India & Middle East, you have 2 stuff: You have the significant part of the Intelenet business that is mainly India either for domestic and international; and you have on top of that, the Indian business that was conducted by the EWAP before. It has a like-for-like growth. It is only the EWAP figure. Of course, because Indian business of Intelenet was not part of the group last year. So the like-for-like growth has limited, I would say, value. Because it depends a lot of the time that we opened and we developed TP India last year. And there was a lot of development of TP India last year. But they are going to reduce as the years go by. More interestingly is that the total level of this division, which is €255 million, including most of the business of Intelenet, but not all because some part of the business for Intelenet has been either reclassified in Europe with Poland, either reclassified in U.S. with the U.S. business of Intelenet, either reclassified in Ibero. This is shown in, this is described in Page 28 of the presentation that try to explain you how the different division are now set up. So the like-for-like growth of Middle East and India has limited value until we pass over the fourth quarter, where we will have the full division in place.
Patrick Jousseaume: My question was actually more on D.I.B.S., the last item in table, Page 12, where you have €507 million of revenue for H1 and €272 million for Q2 this year. So both this year, so it means that basically €235 million for the first quarter, €272 million for the second quarter, so strong growth. It was about this growth that I was asking you, something on that.
Olivier Rigaudy: No. I get your point, sorry to have not catch your question. The question is that, in fact, here you have in this division, you have of course significant part of India and the Middle East, and also business that are done, I would say, digital across the Core Service division. And as you have understood, there are some growth coming from the digital client to make it simple. And that's where you are, what you are seeing in this division. And as the year go by, you will have all the information coming on screen because we don't have 2018 this way. But clearly, we are growing in this division and this carried on with what I just told about digitalization of our client base.
Operator: Our next question comes from the line of Laurent Gelebart of Exane.
Laurent Gelebart: I have two questions. So the first one is regarding organic growth in Q2. Could you share or give color on what is the mix between existing and new clients? That's the first question. The second question, I guess, Specialized Services improvements in H1 EBIT margin, so it's 160 bps ex IFRS 16. And I would like to understand if it is due to translation or if it is due to underlying improvement of TLS and LLS businesses?
Olivier Rigaudy: Coming to your question, it is mostly coming from -- for LLS, it's of course, in term of rate, because it's only the lights. It's real, it's not translation [indiscernible] our stake in fact. In LanguageLine solution, you have the growth, which is linked to the fact that we are developing more and more video, more and more business that is happening. And you had last year, and I'm sure you remember that we had some issues last year that reduced the growth and reduced the rent as a profitability. So that has vanished. And now we are taking the full advantage of the decision that we took and the implementation of what we have done in video and in developing the business. For TLS, it's an immense story, of course, our good volume -- our volume stuff, especially in U.K. here, in the U.K. government, but also the ability to sell more and more added value services that have good margin. So most of that is real and not translation. About the organic growth, most -- on a long term, and it's true this first half, we are 50-50 between hunting and farming. But I must say that farming is the business that you get last year, so it's very quick farming. So a significant part of that is coming from the fact that we are growing with new clients on digital businesses, and that have been granted recently.
Operator: [Operator Instructions]
Olivier Rigaudy: Thank you to all. First of all, I want to apologize for the technical issue, and I'm really sorry about that. It's beyond my control. Secondly, I want to tell you how pleased we are with this first half results, as I told you in terms of activity, margin and cash. And I wish you all those who are going to the sea, have a good holiday. Thank you. Bye, bye.